Operator: Hello, and thank you for standing by. Welcome to the Canadian Apartment Properties REIT First Quarter 2021 Results Conference Call. After the speakers' presentation, there will be a question-and-answer session.  I would now like to turn the call over to Mr. David Mills. Please go ahead.
David Mills: Thank you, Michelle, and good morning everyone. Before we begin, let me remind everyone that the following discussion may include comments that constitute forward-looking statements about expected future events and the financial and operating results of CAPREIT. Our actual results may differ materially from these forward-looking statements as such statements are subject to certain risks and uncertainties.
Mark Kenney: Thanks, David. Good morning, everyone, and thank you for joining us. Scott Cryer, our Chief Financial Officer is also with me this morning. To quickly review 2020, despite operating for almost a full year under the COVID-19 pandemic, CAPREIT produced another record year of results for its unitholders. All of our key performance benchmarks were up over the prior year. Organic growth was strong. We continue to expand our property portfolio. And the ongoing strong fundamentals of the residential rental real estate sector, resulted in a significant increase in the value of our asset base. Clearly, our focused and proven asset allocation strategy is working, delivering solid and stable returns for our unitholders, in both good and bad times. Over the last 24-years, we've built the team, the assets and the operating platform to continue our growth and strong performance. And we look for continued success this year, and going forward. Turning to Slide 5, and our results for the first quarter of 2021, you can see we continue to adapt very well to the pandemic. We have maintained our track record of solid growth and performance, our stability and resiliency during these challenging times is a testament to the skill and dedication of our people, the strength of our asset base, and the enduring strong fundamentals of the residential rental real estate sector. For the three months ended March 31, 2021, we generated solid accretive growth in revenues, NOI, and NFFO. It's important to remember that it wasn't until the end of last year's first quarter that the pandemic began to affect our markets. From an operating perspective, our ability to generate solid performance in both good times and bad is clearly demonstrated by the results for our stabilized portfolio, as you can see on Slide 6. Our occupancies remain strong, while net average monthly rents rose again, driven by modest pandemic affected increases on turnovers and renewals. Our track record of organic growth also continues. We've seen property NOI up a solid 2.4%, driven by same property revenue growth of 1.9%, while maintaining a strong NOI margin of 64.5%.
Scott Cryer: Thanks, Mark. Turning to Slide 11, you can see that we maintained a strong financial position at quarter-end, with a conservative debt to gross book value and continuing high-liquidity. Our almost $1.2 billion in Canadian unencumbered properties provide additional liquidity should it be needed. In addition, we have $580 million in liquidity available through our credit facility. In total, if we were to access all these sources of capital, we have available liquidity of over $1.7 billion. And even if we did this, our leverage ratio would still remain a very conservative 43%. Looking at our financing in the first quarter, we locked in a very low interest rate of 2.2% on average on our refinancing and top-ups. And we expect we will continue to benefit from the current low interest rate environment for some time. At quarter-end, over 99% of our mortgages incurred a fixed interest rate. We're also confident that the debt markets and financing will remain highly available for our properties, given the stability and strong fundamentals of the rental residential business. As of March 31, 2021, 99% of our Canadian properties hold CMHC-insured mortgages. As you can see on Slide 12, we continue to maintain strong and flexible financial position, with a reduced and conservative leverage ratio of only 35.2%, strengthened coverage ratios including an almost four times interest coverage, and historically low interest costs on our mortgage portfolio, of 2.82% for the Canadian portfolio, with a weighted average term to maturity increasing to close to six years. Our mortgage portfolio remains well-balanced as shown on Slide 13. And in any given year, no more than 13% of the total mortgages come due, thereby reducing risk in a rising interest rate environment.
Mark Kenney: Thanks, Scott. Looking ahead, we see a number of very positive value drivers that we are confident will generate strong and growing returns for our unitholders over the long-term. In addition to portfolio growth, we continue to see very strong acquisition pipeline in our key markets. We believe value will be driven by our successful asset allocation strategy, or focus on strong urban markets, rebounding, immigration, the return to in-class learning and the younger demographic moving back to apartments and away from home, the increasing size of the seniors population, and with all of these fundamentals generating further appreciation of our asset base. Let's have a quick look at each of these value drivers. A key factor in our success has been our focused asset allocation strategy, as detailed on Slide 15. We continue to target value add apartment properties in the mid-tier segment. These properties can be acquired at well under 50% of replacement cost. We have proven our ability to invest in them to increase value, and their stability is driven by the very affordable rental rates that the buildings offer. We also like the MHC sector, a highly stable, low risk business, with very strong potential to increase cash flows. Revenues are highly stable. And with residents owning their own homes, capital requirements and maintenance needs are significantly reduced. MHC properties also provide another level of diversification within our portfolio, allowing us to enter more rural and smaller markets than a residential focus on large urban regions. Additionally, with home ownership costs rising significantly across the country MHCs provide the real alternative, as prices have not appreciated to the same extent. Our European presence is also driving real value. Dividends from our ownership interest in IRES are strong and stable, while fee income for our asset and property management services in both the Netherlands and Ireland continue to grow. As the only professionally managed operating platform in Europe, the opportunities for further growth and enhanced value are significant. We are also able to capitalize on very low cost European debt to finance our growth at attractive returns.
Operator: Thank you.  Your first question comes from Matt Logan from RBC Capital Markets. Your line is open.
Matt Logan: Thank you, and good morning.
Mark Kenney: Good morning, Matt.
Matt Logan: As we start to get closer to a reopening, can you talk about how you expect your portfolio will perform by region? And maybe if I put it a little bit differently, do you think the operating performance over the next 12-months will be driven by the few areas in your portfolio where you have some vacancy, or if the vaccine progress and immigration will be the key drivers going forward?
Mark Kenney: The immigration is just the foundation for strong growth in the years to come. It's household consolidation, that is going to be the absolute driver. So, what we believe is that there are no statistics is that there is unprecedented household consolidation of people 30-years and younger, living at home during the pandemic. What I tell investors is basically, mom said, come home, and until this thing is over, and you get a vaccine. So the thinking is we've had no change in supply during the pandemic. And we had our population has only grown. So where is everybody? Well, overwhelmingly, they're at home, and that has what's created weakness in the rental market. So, as moms and dads get comfortable that kids are safe with vaccines, you will see a very strong wave of return to the sector. And quite frankly, we had a housing crisis in Q1 of 2020, that hasn't changed, this is kids are at home, and that's where the people are.
Matt Logan: So, I guess the focus really will be on how market rents move and if turnover starts to pick up as we all get vaccinated?
Mark Kenney: Yeah. I think, in the case of CAPREIT, we're holding in there with only 3% vacancy, which is really focused on about 10 assets. So the return of occupancy will be very, very fast and specific to the areas where people get vaccines. And in terms of rental growth, there's no reason to believe we wouldn't return to pre-pandemic levels, if not higher. The cost of housing has accelerated tremendously during this pandemic. And if anything, apartments have become even more affordable. So, this is the situation that we find ourselves in, which is very unusual. For the most part, it's kids at home and international students that aren't here. And in CAPREIT case, it's really restricted to about 10 assets.
Matt Logan: Agreed. And if we think about your leasing traction year-to-date, can you give us a sense for either how occupancy or leads attract on a monthly basis? And if we've seen the bottom for demand?
Mark Kenney: No, we're in it right now. It's absolutely co-related to case count and traffic. And when you think about it, it's just common sense, like, third wave hit us harder than the first and the second, because lockdown measures and just fear of looking for an apartment during lockdown. So, as we see case counts go down, we see a direct correlation of our traffic going up. So in recent weeks, we have seen an increase in traffic as case counts have dropped off, but we found during the first and second wave traffic is a 100% co-related to case counts.
Matt Logan: It makes sense to me. And maybe last question on my end. With significant transaction activity in your markets, you talked about where you seeing some of those cap rates going sub 3% in the GTA. If we think about your 3.39% IFRS cap rate in that same market, how much cap rate compression could we see over the course of the next, say, six to 12-months?
Mark Kenney: There appears to be major lessons learned by investors during the pandemic. And the wall of capital for multifamily that was high, pre-pandemic is higher today. There's more conviction around multi families and then I've ever seen. Now, throughout my career, I've been saying there's more interest in multifamily than I've ever seen. But we've learned during the pandemic, that that wall of capital and interest in multifamily has grown even more. So, we're seeing a window here of private owners selling into lower cap rates and institutional capital highly interested in sector.
Matt Logan: I appreciate the commentary. That's all from me. I'll turn it back. Thank you.
Scott Cryer: Thanks, Matt.
Operator: Your next question will come from Jonathan Kelcher from TD Securities. Your line is open.
Jonathan Kelcher: Thank you. Good morning.
Mark Kenney: Good morning, Jonathan.
Jonathan Kelcher: First question, just those 10 assets, Mark that you said, I guess the majority of your vacancy. What type of assets are those?
Mark Kenney: Student-focused buildings downtown core. So building, now we have a couple of assets that are in very close proximity to universities. We have one on the University of Alberta campus in Edmonton, and a couple in Halifax. And then when you move into quarter the next year, it's downtown located buildings. Wherever the pandemic has been hit the strongest is, it's again, that cohort of 30 under that mom and dad said, come home. And so wherever you see high case counts, it's that cohort, exactly that it's caused weakness. It's not the seniors, it's not families, it's the cohort of under 30. So, the final place we saw it was in the luxury-end. So, when we have one brand new asset that targets that cohort downtown Toronto, and it's also been quite impaired. But again, you'll see a fast rise to demand in those markets, because the unusual thing that's happened in places like Toronto, and Vancouver, Montreal, is the investors that owned individual units sold a lot of those units in the end user hands during the pandemic. So, we believe the stats will come out. But I hold the belief that the rental universe has actually gotten smaller, as private sellers that couldn't rent through Airbnb units or couldn't rent their higher priced condos sold into end user hands. Now, we'll see if that plays itself out. But anecdotally, this is what I'm hearing across the board. A lot of investors sold their investment units during the pandemic, because they had to.
Jonathan Kelcher: So much tighter market coming out of this.
Mark Kenney: Fundamentals are going to be good for new construction, fundamentals will be good, obviously for bid to your portfolio like cap rates.
Jonathan Kelcher: Okay. Just on your tenant inducements, they have picked up the last two or three quarters. Are you using them at more in some markets than other others? And then how do you see that playing out going forward?
Mark Kenney: Well, CAPREIT has not been a tenant inducement culture in our 24-year history. We've been chasing ghost tenants during this pandemic, because traffic levels have plummeted as each wave showed up. But as the case counts go, just like traffic you can expect to see a falling off of our new tenant incentives. Now, a tenant incentives that we put in place, we amortize over the first year of the lease, so there's going to be a bit of a run rate that will last I believe, until first quarter of next year. But newly initiated incentives, I expect to fall off dramatically in the third quarter. We're already starting to see reduction in use. We monitor them very, very closely. But again, directly related to case count reports and directly related obviously to our traffic.
Jonathan Kelcher: Okay. That's helpful. I'll turn it back. Thanks.
Operator: Your next question will come from Brad Sturges from Raymond James. Your line is open.
Brad Sturges: Hi, there. Just to follow on those questions, I guess, if you see an uptick on the leasing activity, is that the tipping point in terms maybe willing to take on a little bit more vacancy and hold out for a better rate?
Mark Kenney: It's great question, Brad. So, throughout the pandemic we tried to call vaccine rollouts, because when we got clarity on the pandemic coming to an end, that in my mind is the time to build vacancy to properly capture market rents. So, we thought we were seeing it in the first quarter there, we thought, Jeez, this is going to -- vaccine rolls are going to hit us and we're going to be in great shape. We had a couple of weeks of confusion. I now believe that we're going to be marching towards 50% vaccination sooner than later, we're almost there. And we'll see what happens with case counts in the next few weeks. Think the next few weeks are critical. And as we see that happen, we know that rental markets going to light up. Kids under 30s will do not want to be at home. This is not a rental trend. It's just a matter of getting vaccinated and getting back to life.
Brad Sturges: Okay. And then, I guess the lockdowns had an impact on R&M costs. Do you see that essentially catching up in the back-half the year when we do open up?
Mark Kenney: Not at significance. Like our teams have been, as I said, like we're so proud of the CAPREIT team, they've been working tirelessly through this pandemic. And while they can't go into units, in some cases, I don't expect to be seeing a lag effect in costs.
Brad Sturges: Okay. At this point, I guess you're seeing a very strong deal pipeline. I guess, last call you talked about similar volumes to 2020 in terms of annual volume. I guess, any change in expectations here based on what you're seeing? Are you stick to your original commentary?
Mark Kenney: Yeah, like volumes are out there, it's a matter of us targeting value. And so like, it's really a situation of how much capital is chasing and how aggressive the capital is going to be. So, we'll stay disciplined in our accretive hurdles. There's a lot of opportunities to underwrite, it's whether or not the aggression around pricing outpaces CAPREIT. And I'm not -- I'm quite confident that there's enough opportunities across the country, that we will continue to underwrite deals and be successful. You've seen, Brad, our success rate were quite low. But fortunately, we're underwriting so many deals. We tend to be able to bring in decent amounts of growth. But not at the expense of anything. Earnings per share is our focus at CAPREIT, not growing the number of units and the size of the portfolio.
Brad Sturges: Great. I'll turn it back. Thank you.
Mark Kenney: Thanks.
Operator: Your next question comes from Joanne Chen from BMO Capital Markets. Your line is open.
Joanne Chen: Good morning. Maybe just thinking of the acquisition pipeline. So, in terms of kind of the opportunities that you're seeing, would these be kind of more one-off deals? Or, are you increasing opportunities with respect to larger portfolio sales?
Mark Kenney: It's a mix of both. You've got -- really what you have is the private sector seeing valuations at extremely high levels, and then generalized fear around the future of capital gains taxes. So, I think in a lot of cases families are looking at their portfolios, big and small, and thinking that may be a time to liquidate if there's not succession in owning the portfolios for the next generation. So, it's just a matter of the valuations being so robust and capital gains fears. But it's not unique to one particular demographic of ownership in apartments. It's large portfolios, and it's small.
Joanne Chen: Got it. Maybe just shifting back to the operations side of things. Can you kind of comment on how -- I know we're still in a lockdown and all, but kind of how turnover activity post the quarter has trended?
Mark Kenney: There's no sort of -- I wouldn't call a trends of any sort. You've got a combination of people that we're going to move and moved. And it's not a great time to be moving in or out during a wave of a pandemic. So, I expect the trend will emerge as the third wave completes. I do think there's a lot of pent-up activity, but there's more inbound activity at this point than outbound activity. People that we're going to move have had the ability to give either 30 or 60-day notice, depending what province you're in, and they've made those decisions. So, it'll be a rapid return to market rents and they can see shore up.
Joanne Chen: Alright. And, I guess just one with respect to market rents. What are you seeing right now in terms of kind of your opportunity there for mark-to-market and some of your key markets right now?
Mark Kenney: We're seeing a mild increase, because we're essentially at this point comfortable with building a little more vacancy, because we do see this third way subsiding. I would not call a trend on that quite yet, but it's getting pretty close. But, I can assure you that, as this pandemic eases case count wise, again, you will see a very rapid return to mark-to-market rents. I think, I'd said pre-pandemic levels, and the reason being is the population has grown in Canada, and the supply has not. So like, where is everybody? Well, there's one cohort that that home, it's the under 30s. And you can talk to pretty much anybody that's 50-year old enough, and they've got kids at home for the most part. So, it's not students. It's just that cohort of age. And, they are not planning to stay at home with mom and dad for the next 20-years. They're ready to go. Enough is enough. That's the belief that we hold. Q - Joanne Chen Right. Okay, that's helpful. But maybe just one last one for me on a bigger picture, high level question with respect to, post-pandemic one, hopefully soon. But, with respect to the overall industry on the regulatory front, with respect to some of your discussion, perhaps, with all the players, what are you guys thinking in terms of the potential for an extension of some of the rent freezes and caps into 2022? Or, is it too still too early to tell at this point?
Mark Kenney: I think it's too early to tell. I think it's going to have a lot to do with unemployment. It's going to have a lot to do with pressures on how the economy is doing in general. And it's going to have a lot to do with affordability, I guess, going forward. The strongest attribute of our portfolio is that the affordability proposition has actually gotten stronger during the pandemic for CAPREIT, like the cost of homes, as we all know is just skyrocketed. So the alternative housing source is quality rental, we think is in the mid-tier the perfect place to be. The fundamentals are going be incredibly strong. How governments react to that is different by province. But, I can't provide any sort of meaningful insights on that.
Joanne Chen: Okay. No, that's still helpful. That's it for me. I'll turn it back. Thanks.
Mark Kenney: Thank you.
Operator: Your next question will come from Mario Saric from Scotiabank. Please go ahead.
Mario Saric: Good morning.
Mark Kenney: Good morning.
Mario Saric: First question, I'm just coming back to the acquisition pipeline. I think, last quarter Mark you kind of highlighted enthusiasm over 200 basis point type CAPREIT spreads historically they've been 80 to 120, let's say, within the market. Some of the CAPREITs that you highlighted in the GTA, Montreal, Vancouver, kind of stabilized 3%, Montreal, 3.5%, Vancouver, 2.3% or so. Scott talked about the tenure being at 2.6 in terms of financing cost. How do you make that work? Is this going to be in different markets? How do you make those spreads work?
Mark Kenney: So, you're on the edge of the double edged sword. So during the pandemic, we saw rates fall tremendously, and portfolios come available and those spreads were there. As financing costs have increased, the spreads are tightened. Where does that leave CAPREIT? That leaves us in one of two places. If CAPREIT cap rates continue to compress with interest rates the way they are, we will not be successful in growing. But what we will be phenomenally successful in is NAV appreciation. Because as we lose, and the market reveals higher valuations for apartment buildings, our portfolio only grows in value. And I would suggest it to be significant. So, if we're not able to buy, it just means the enthusiasm for apartments is extremely strong. So, the second thing that we look at, not just the spread the growth prospects of income in particular assets. So, I've always used that example of 150 basis points with 5% growth, that kind of use that number. If it's 200 basis points with 3% growth, it's kind of the same proposition. And if it's 120 basis points with 9% growth, it's the same proposition. So it's all moving around that kind of idea, in markets that you can call is stable and growing. And that's where it becomes a little more complicated. Knowing the math on spread, it's quite easy, when you buy it, knowing the growth or expertise comes into play. So, I do think it's tightened Mario, but I think the growth potential has increased. And at a very minimum, the prospects of value creation for the CAPREIT asset base has never looked better.
Mario Saric: In your opinion, is there enough potential supply coming onto the market? I'm talking about properties as opposed to construction, such that cap rates could start to reverse a little bit and it starts to take higher?
Mark Kenney: No. Unfortunately, the messaging from government has been increased immigration. And we all welcome that. But without meaningful housing policy to accelerate the development of rental, I think that we're going to find ourselves in this supply constrained environment. We were there before the pandemic. The pandemic did not accelerate the development of rental or population did not go down. And we're calling for increased immigration numbers unprecedented, never seen before immigration numbers going forward. So the fundamentals are just incredible. And where solutions need to be sought is in the acceleration of development for rental that just isn't happening, unfortunately, at this point in the markets that need it the most.
Mario Saric: You mentioned or you highlighted some of your portfolio IFRS cap rates one of the slides in the deck. Presumably, those are single property cap rates, whereas some of the cap rates that you're highlighting. The private market would include portfolio premiums within those valuations. The public market isn't subscribing significant NAV premiums for the multifamily REITs today. In the private market, what's your estimation in terms of where portfolio premiums are going for larger transactions?
Mark Kenney: I think -- well, there's lots of people that would like to build platforms in Canada and need that NAV. So depending on the size of the portfolio, I think it would range narrow, when you get into those portfolios that are kind of plus 1500 suites, I would say 15 basis points to maybe a high of 25 basis points. And again, it depends on the players. So, a lot of buyers of apartments are not following the CAPREIT 35% leverage model. They're leveraging much higher and using shorter money, where returns are far more interesting. So hard for me to call, because people organize their capital differently, and lever with different appetites. But, I think that it's fair to say, anywhere between 1,500 suites and 5,000 suites, you see portfolio premium. When you start going over that number, you kind of shrink the pool of those that can actually cough up the kind of money that's required. So, I think those premiums fall off at over 5,000 suite portfolio range. It's hard to say. We've got too much evidence, really in the marketplace, I'm just speculating.
Mario Saric: My last question just comes back to this quarter you admitted the kind of mark-to-market discussion, kind of setting the pandemic uncertainty last quarter, I think you noted it was about 20% or so. Is the omission just simply because of the magnitude of the third wave? Or, is it an indication that perhaps the mark-to-market was uncertain over the last couple of quarters, and it's correcting that. Has anything changed in this quarter?
Mark Kenney: Yeah, I'll let Scott chime in here. But at the end of the day Mario, we started feeling a little bit embarrassed cleaning that our mark-to-market was 20% and producing single digit. So, we've got the pandemic effect going on. And so I think it's very difficult to market rent is when we're evidence is otherwise. So at this point, we felt it was misleading to say one thing and produce another one. People ask me, what's your mark-to-market? I'll say look at our last quarter of turnover increases, and that's our mark-to-market. That's what we're actually achieving. So, Scott what would you like add?
Scott Cryer: No, I think that bang on. I mean, it's really, we just felt like there's not enough market evidence today to have as much confidence in that number. I mean, we build that number up at a property level, at a unit level. We involved marketing. And so, we felt comfortable with that number in previous quarters. But just given the environment, there's just not a lot to say when that will change, when markets will come back. So, we didn't want it to be misleading. We know that there's always a disconnect between what we're getting on turnover, like if you look pre-pandemic, we were getting 13% to 15%. We're saying our market rents at 20%, that's because a lot of the same units turnover until the increases aren't as much and a lot of the older leases have bigger mark-to-market. So, we're confident with the data, before which is the uncertainty of the current environment, it didn't feel appropriate to include that guidance right now.
Mario Saric: Okay. That makes sense. Thanks guys for the color as always.
Mark Kenney: Thanks.
Operator: And your next question will come from Mike Markidis. Your line is open.
Mike Markidis: Good morning, everybody.
Mark Kenney: Good morning, Mike.
Mike Markidis: Just on that -- maybe another way to ask Mario's question. Have you guys calculated what your spreads was in the last couple of quarters, if we exclude those 10 most impacted most?
Mark Kenney: Scott, do you want to take that?
Scott Cryer: So you’re saying like mark-to-market, like the rental lift?
Mike Markidis: The rentals, yeah. Just because we're talking about the pandemic and then probably it's really specific asset. I'm just wondering, the leasing spreads over the last couple of quarters would be materially different if you ex those out of the average?
Scott Cryer: I can't see we've done that math. Yeah. I don't know Mark if you have anything to add. But, I haven't specifically done that math. It's a good idea.
Mark Kenney: I think the answer, Mike is that those properties will return to pre-pandemic levels, and the rest of the portfolio will return to pre-pandemic levels. Like, the reality is that 80% of our portfolio is just moving along fine. I just think it's related to the pandemic. But there's nowhere in Canada where you haven't had some degree of slowdown in traffic and interest, and nowhere in Canada, you haven't had the under 30 is going home. So, I think not to simplify, but I think we would just go back to using Q1, 2020, as a decent benchmark, then, if not and growing from there.
Mike Markidis: I think, we've been talking about the active deal market. Mark, a couple months ago, I think you would have said and correct me if I'm misquoting you, but on any given day you typically be underwriting $200 million to $250 million of acquisitions. And I think in late March, it was $5 billion. And I think, the chatter out there's a pretty substantial portfolio that's been holding. So, what would that stat are comparatively today?
Mark Kenney: I would say, going by memory based in deals that we're underwriting, so deals that we're currently underwriting in the marketplace, I would call it a quantum of $600 million of opportunity that's out there. Like I said, in the core markets, my enthusiasm around being successful is probably low. But this brings me back to the valuation increase the CAPREIT portfolio. So, all that we know is that as we lose more deals, the value of the portfolio continues to surge.
Mike Markidis: For sure. Okay. And last one for me. I don't want to be accused of tripping over the pennies and not paying attention at the dollars in terms of your occupancy and rent spread potential in 2022. But your G&A you stripped out that $700,000 was up materially from a year-over-year and compared to where you were running, and guidance for this being a reasonable run rate for the rest of this year. Can you help us understand inflation, even though reduction in travel and all that stuff?
Scott Cryer: Yeah, I think, if we look at 2019, our top-line G&A not net of the asset management fees that we have was $46 million, and last year is down to $43 million. So, I think Mark, and I tried our best to communicate that. That was completely unrealistic to maintain going long-term, those kind of savings, were associated with not hiring people. When people left, obviously, a lot of the costs that you're talking about. So, we're trying to say, we hope things will get back to normal. And if they do, it'll probably be in that $54 million range. The reality is that's kind of our budget more or well, shorter our budget as a positive right now. So, that's probably on the high side, and that assume as it returns to somewhat normal cost. But there are the acquisition costs, there's or some severancing costs and some new hires. There's also some costs associated with IRES management contract and kind of us trying to work through that. So that guidance, I would say, is looking to be on the high side, but definitely, we take 2019 and then add some inflationary plus and growth cost to that that's probably a better guidance.
Mike Markidis: Okay. Got you. 
Scott Cryer: No, not really. The only thing like some of our departments that get capitalized to projects when we're doing big IP projects and stuff that's not happening, because there's not as significant number of large projects happening right now. But nothing really between and NOI at all. So, the only other areas to keep an eye out for we added new disclosure on the G&A, but we also just around CMHC premium write-off for this year, it'll be another big year, because we're looking at over a billion dollars in financing this year, probably even close to $1.2 billion, which is incredible from an interest rate point of view. It'll be almost 50% of our mortgages, but that's going to come off with some old premium write-off. So just we've added some disclosure there, just make sure you turn your attention to that as well.
Mike Markidis: Oh, no, no, thanks to point out that. But just can you remind me, would you typically exclude that from your asset build and that’s  termination or no, that would be a .
Scott Cryer: No, not in the current year. When we did a kind of cleanup last year, which we excluded and included a lot of prepayment of mortgages as well, because we did extremely aggressive on our buy down mortgages to be able to lever up and get to that $1.4 billion, we did last year. So those were added back, just because they were so large last year, but they'll be included in FFO this year.
Mike Markidis: Got it. Okay. Thanks so much.
Scott Cryer: No problem.
Operator: Your next question comes from Matt Kornack from National Bank Financial. Your line is open. 
Matt Kornack: Hi, guys. Good morning. Just to follow-up on that last point. The yield curve has clearly steepened. But judging from your committed or completed mortgages, you're still going with 10-year financing. Just wondering, you do have I guess, a bit of room in 2026 and '27 to maybe do a bit shorter-term mortgage refinancing. What are your thoughts in terms of term on mortgages at this point?
Scott Cryer: Yeah, we definitely, like I would say in the last five years, we almost did solely 10-year. You know, we even did some 12 and 15. Mark, and I've discussed moving to some shorter-term. We think rates aren't going anywhere crazy anytime soon in our portfolio. By doing so much last year at a 10-year, we've given ourselves some space in the short-term. So we'll do some threes, fours and fives. Fives and 10s are primary just because a lot of -- we work with a lot of CMBS lenders, which their pricing is usually also fives and 10. So it'll be majority of fives and 10s. I'd say probably at least 30% of our portfolio will be five year or shorter, this coming year.
Mark Kenney: If I would add to that, Matt, we've never really been leveraged focused. So 10-year always made a lot of sense. However, I think what we're coming to realize is it in the value add acquisition. You're better off with five year, we simply add so much value over that five years that there's more equity to tap into in the shorter-term, whereas as you buy a value add property and you lock the financing in long-term, you have to second mortgage to get it created equity. So, I'll use our Oshwab  portfolio, most recent acquisition as a great example. We feel that there'll be significant value add opportunities in that portfolio, and therefore, you're better off with shorter financing to tap into as much low cost equity as possible.
Matt Kornack: No, that absolutely makes sense. From an underwriting standpoint, though, you still would use 10-year financing as kind of benchmark to cap rates?
Mark Kenney: We use CAPREIT leverage and we use 10-year money, then what we do, beyond that is really management decision. But, for the discipline of modeling, we model CAPREIT portfolio leverage, and we model 10-year money.
Matt Kornack: And just quickly, you noted stabilized cap rates, I know that's a bit of anybody's guess. But is that just stabilization of on occupancy? I assume you're not stabilizing rent to market at this point for those counts, are you?
Scott Cryer: Sorry, stabilized cap rates?
Matt Kornack: Yeah, the quoted and stabilized cap rates, even on transaction activity, not necessarily in terms of your IFRS values?
Scott Cryer: Yeah, the way we look at -- I mean, if you're looking at some of our disclosure, obviously stabilized as we've held that property over the two years. So you can see the relative cap rate compression. As far as how we stabilize our income, that's a different discussion. But I'm not sure if I'm answering your question or not at this time.
Matt Kornack: It was more related to the acquisitions, or sorry, the market transactions that Mark had noted, 3% caps like, the NOI for those. Are those…
Scott Cryer: Right.
Mark Kenney: Yeah, the word stabilized probably doesn't belong there. The reality is that cap rates going in, depending on what income you're modeling, some people use broker income, some use their own. Everybody uses their own. So those going in cap rate, I was just trying to give indication of what we're seeing in the marketplace. But they do range in that kind of 3% cap range right now.
Matt Kornack: Sure. No, that makes sense. And last one, for me. The disclosed renewal percentage, I think, was sub-10%. But you didn't see any increase in vacancy. So, are people signing longer than 12-month leases at this point? Or, was it a pandemic-related issue in terms of the lower renewal percentage?
Mark Kenney: No, it's strictly the increased moratorium in Ontario and BC, and a cap in Nova Scotia 2%, that's what's going. There's no, people are not signing. We're not offering longer leases as an incentive, which hold rents, were -- no change there.
Matt Kornack: Okay. Perfect. Thanks, guys.
Mark Kenney: Thank you.
Operator: This brings us to the end of our Q&A session for today. I'll turn the call back over to Mr. Kenney for closing remarks.
Mark Kenney: Well, first of all, thank you, everybody for your time and your attention today. And, if you have any further questions, please don't hesitate to contact us at any time. Thanks again, and have a great day.
Operator: Thank you, everyone. This will conclude today's conference call. You may now disconnect.